Operator: Good day, everyone, and welcome to the PBF Energy Fourth Quarter and Year-End 2024 Earnings Conference Call and Webcast. At this time, all participants have been placed in a listen-only mode and the floor will be open for questions following management's prepared remarks. [Operator Instructions] Please note this conference is being recorded. It is now my pleasure to turn the floor over to Colin Murray of Investor Relations. Sir, you may begin.
Colin Murray: Thank you, Brittany. Good morning and welcome to today’s call. With me today are Matt Lucey, our President and CEO; Mike Bukowski our Senior Vice-President and head of Refining, Karen Davis, our CFO and several other members of our management team. Copies of today’s earnings release and our 10-K filing, including supplemental information, are available on our website. Before getting started, I’d like to direct your attention to the Safe Harbor statement contained in today’s press release. Statements that express the company’s or management’s expectations or predictions of the future are forward-looking statements intended to be covered by the Safe Harbor provisions under federal securities laws. There are many factors that could cause actual results to differ from our expectations, including those we describe in our filings with the SEC. Consistent with our prior periods, we will discuss our results, excluding special items, which are described in today's press release. Also included in the press release is forward-looking guidance information. For any questions on these items or other follow up questions, please contact Investor Relations after today's call. For reconciliations of any non-GAAP measures mentioned on today’s call, please refer to the supplemental tables provided in the press release. I’ll now turn the call over to Matt Lucey.
Matthew Lucey: Thanks Colin. Good morning, everyone, and thank you for joining the call. Before commenting on the fourth quarter and 2024 in general, I would like to address the fire that we experienced at the Martinez refinery on February 1st. I personally want to thank all the first responders, including our own employees, the Contra Costa County Fire Department, Martinez Police and the mutual aid responders from our local industrial peers, who successfully battled the fire and established control. I am thankful there were no injuries beyond first aids on a few folks. We cannot ignore the impact that this incident had on the surrounding Martinez community. PBF Energy earns the right to operate in the communities where we have facilities by being a responsible, safe and reliable operator. We apologize to everyone affected by the incident. We need to maintain a cooperative partnership with the state, county and city to move forward constructively. The fire began as refinery workers prepared for planned maintenance of a process unit. We were in the process of isolating shutdown equipment when the fire began. We are still early in the recovery process. Access to the point of origin is limited until the completion of ongoing investigations. We are in the process of assessing the extent of the damage and experienced – we have experienced personnel set up to determine the necessary next steps. Looking ahead, while we don't have all the answers, we fully understand the importance of the products that we manufacture for the people of California. While California is a difficult regulatory environment, the California market with its unique specifications, is short refined products and thus relies on imports. The situation is set to compound itself with the announced shutdown of LA Basin Refinery scheduled for this fall. While the full impact from this incident is not yet known, it's important to note that PBF is properly insured for an event such as this. Moving on to the fourth quarter, results reflect the challenging markets faced by refiners comprised mainly of a weak margin environment and poor crude differentials, which is a continuation of the conditions that dominated the second half of 2024. For the most part, our refineries operated well during the quarter. We successfully executed a major cat turnaround on budget at Chalmette. The turnaround work did adversely impact capture rates in that region. The operating performance of our assets reflects the dedication and focus of our outstanding employees who work 24x7 in all market conditions to supply the refined products that are still very much in demand. The weak margins and market conditions experienced recently do not reflect our longer-term view that global refining supply and product demand remain tightly balanced. We believe this provides a constructive backdrop for refiners as demand for our product continues to grow globally. Indeed, forward cracks look constructive. We expect to see a balancing of the disproportionate capacity additions we saw in 2024. 2025 net capacity additions are expected in the 700,000 to 800,000 range, with product demand growth in the 750,000 barrels per day range. This assumes new capacity operates near announced capability, something we have yet to see in some regions. Additionally, narrow, light, heavy sweet sour spreads have been a headwind to our capture rate. This rewards lower complexity assets in the near term. That said, we like our predominantly coastal system and access to a broad variety of feedstocks that it provides. As the global crude picture continues to evolve, if we see a shift in the market conditions that allows incremental heavy and sour barrels to become economically available, that will benefit our system. There's a lot of turbulence in the markets and PBF is focused on controlling the aspects of our business that we can control to best position ourselves going forward. One of PBS strengths is our financial position. In this current market cycle, PBS balance sheet provides us with flexibility to weather challenging markets and look ahead to next market cycle. To be successful and enhance value for our investors, we must operate safely, reliably and responsibly and we must do it efficiently. With that in mind, our team has been developing a business improvement initiative across our refining footprint. And as promised, we'll now turn the call over to Mike Bukowski for comments on our cost savings program.
Michael Bukowski: Thank you, Matt. Good morning, everyone. As Matt mentioned, we have a number of initiatives ongoing at PBS that we are collectively calling our Refining Business Improvement Program or RBI for short. Achieving our targeted cash expenditure savings will be a corporate-wide effort that focuses on improving our current standards of fiscal discipline and operational excellence. We are committed to improving what are already excellent programs. We have identified several opportunity areas within the refining business. We've established teams to systematically capture these opportunities and effectively institutionalize the improvements to ensure the durability of these savings year-over-year into the future. We've launched five separate efforts led by different subject matter experts, targeting over $200 million in run rate cost savings to be implemented by the end of 2025. As a basic framework for the program, we've identified energy usage and turnarounds as the largest opportunity areas, representing approximately 30% to 50% of our overall target. Beyond those areas, we are looking at our procurement practices, capital planning and expenditures, maintenance and organizational design. These areas represent approximately 10% to 15% each of our targeted savings. The five teams have held several idea generation sessions in the field at our refineries and have identified multiple initiatives to capture the savings goal. Some of these initiatives are already underway. The new ideas will be prioritized, developed into implementation plans and resourced. By the end of the first quarter, we expect to have an overall implementation plan with clear line of sight to our goal as a commitment to our employees and to our external stakeholders. In the future, we will provide more detail on our progress in terms of what we are doing and the savings generated, all while continuing to operate safely. With that, I'll now turn it over to Karen Davis for our financial overview.
Karen Davis: Thank you, Mike. For the fourth quarter, we reported an adjusted net loss of $2.82 per share and adjusted EBITDA loss $249.7 million. Included in our results is a 4.8 million loss related to PBF's equity investment in St. Bernard Renewables. SBR produced an average of 17,000 barrels per day of renewable diesel in the fourth quarter. First quarter RD production is expected to be 10,000 barrels to 12,000 barrels per day as a result of a planned catalyst change in March. Cash flow used in operations for the quarter was approximately $330 million, which includes a working capital headwind of approximately $83 million. Consolidated CapEx for the fourth quarter was approximately $237 million, which includes refining, corporate and logistics. Full year 2024 CapEx was approximately $1 billion. As mentioned on our third quarter call, this amount includes approximately $145 million of cash outflows related to our 2023 capital program for work completed at the end of 2023. You should note that our CapEx guidance is on an incurred basis, but our cash flow statement will reflect what we actually spend for the capital expense expenditures and turnarounds in the period. Through share repurchases and our dividend, we returned approximately 60 million to shareholders in the fourth quarter. Since our repurchase program was introduced in December of 2022, through the end of the fourth quarter, we completed approximately 1 billion in share repurchases. This represents over 17% of our outstanding shares at the beginning of the program. Additionally, our board of directors approved a regular quarterly dividend of $27.05 per share. We ended the quarter with approximately $536 million in cash and approximately $921 million of net debt. Maintaining our firm financial footing and strong balance sheet remain priorities. Our ability to fund operations and continuously invest in our assets will always be of paramount importance. We entered last year with the strongest balance sheet we have ever had. Our under levered balance sheet enabled us to increase net debt during the weak market conditions of 2024. As the market rebalances off the 2024 lows, we expect to use periods of strength to focus on delevering and preserving the balance sheet. After prioritizing our balance sheet and operations, we'll look at all capital allocation opportunities to determine which promotes the greatest long-term value. Operator, we've completed our opening remarks and we'd be pleased to take questions.
Operator: [Operator Instructions] One moment while we poll for questions. And we will take our first question from Roger Read with Wells Fargo. Your line is now open.
Roger Read: Hey, good morning, everybody. I don't think I changed my name, but I'll roll with it here anyway. Quick question for you on, just focusing on Martinez here. Recognizing regulatory environment in California is, what it is. What's the timeline? You believe that we will get greater clarity on what the damage is, what it'll take to fix it, and when you'll be allowed to do the work. What's kind of a broad guideline we should consider here?
Matthew Lucey: Thanks. Thanks, Mr. Read. Look, the reality is the sort of ground zero where ignition took place, that's actually still cordoned off. We expected quite frankly, to have access to it already, but we don't. So again, I'm getting come dangerously close to speculating. I suspect that we will get access to that area shortly. And as I said in my comments, I mean, we absolutely have to work collaboratively with all the different stakeholders as we look at and investigate what happened. And so once we get full access to the site and we have to appreciate we were commencing a turnaround and obviously now there's damage from the fire, so there's a multi-pronged effort to assess sort of moving forward. But I suspect we'll be getting access to that cordoned off area very soon. And then we already have teams, as I said, on the ground doing the work they can do now, but we should be able to -- over the next short period of time have a much better assessment. It just so happens as call coincided at a moment in time that was in front of that. But over the next week or so, I think we'll have a much better view. And all I can promise to you and to our shareholders, communicate openly as we - and transparently as we learn things going forward.
Roger Read: Understood. Yes. Timing is everything, right? The second part or the second question I have also ties in with this. Given it is premature to know exactly how long it's down and what the costs are. If we look at, kind of Q4 results, which consume some cash, Q1 which, let's just say it's neutral or a little bit of a negative impact based on where things are tracking so far. What are some of the levers you can pull on in 2025 to ensure that the company is in a sufficient position liquidity-wise to operate with one of the units down to do whatever repairs are necessary? Are there deferrals or CapEx or -- I'll leave some of the bigger kind of topics out there for you to answer rather than putting words in your mouth. But what should we watching? Maybe that's more of a question for you, Karen. I'm not really sure. But just with the uncertainty, how should we think about what you'll do from a cash position standpoint?
Matthew Lucey: I'll make a couple of comments and turn over to Karen. In regards to our financial strength, Karen, I think mentioned in her remarks that we started 2024 with the strongest financial position in our history. I would say, we started 2024 with the strongest financial position in our industry even where we sit today after a difficult 2024 market conditions. If you go back to when we became a public company and we had the intent on coming out with a conservative balance sheet, our balance sheet today, even though our company is more than twice the size and we own all the inventory, our company today on any debt metric is well below where we originally designed it when we became public. And when you look at 2024, we were able to navigate the year without impacting CapEx because we felt like that was the right thing to do. Everything is predicated on your view of the market. You're not always right, but you're always evolving that view. And so we'll always take that view in combination with the financial strength we have and operate our business as best we can. So in 2024 we didn't defer any spending. We invested in our plants as we should and indeed 2025 looks constructive. The downtime at Martinez, we were scheduled to be down for 60 days for a major turnaround at Torrance. This will impact that schedule, but our ability to generate cash as a company will not hinder on Martinez in isolation. So we're in a really strong financial position. Our outlook is positive, but we always have the capability to the degree our outlook changes or the market changes to manage our business and the capital and the work that we do at our facilities in conjunction with the market that exists. Karen, I don't know if you have any other.
Karen Davis: Well, I just would add, obviously over the past few quarters you've seen us rely on our underlevered balance sheet to support both operations and share repurchases. At the end of the fourth quarter, we were at a 16% net debt to cap ratio. We've got 2.4 billion available under our ABL as well as the other triggers that Matt mentioned. Going forward, as the market normalizes and we see improved cash generation, we're going to refocus again on reducing leverage as a top priority over share repurchases.
Matthew Lucey: It is a core tenet of how we're running this business and that is when markets are strong and we're generating cash, we intend to under lever ourselves. And that gives us the flexibility and the luxury of managing the business without being hindered by financial constraints when markets are more difficult.
Roger Read: Thank you.
Matthew Lucey: Thanks, Roger.
Operator: We'll take our next question from Ryan Todd with Piper Sandler. Your line is open.
Ryan Todd: Thanks. Maybe one follow-up on Martinez, you mentioned the insurance that you have that should offset some of the impact of this. Can you maybe help us walk through how the insurance offset works, what sort of the impact it might offset, or if it's too early to say at this point. And then as a second question on renewable diesel, if we switch gears over there, can you maybe provide an update? There's a lot of moving pieces here to the early part of 2025. Maybe an update on your view of the market and how you might approach - how you think you might approach [45C] credits in the first quarter if you're think you'll be able to book or not book in any of those dynamics? Thanks.
Matthew Lucey: Sure. So in regards to insurance, I'm not going to get into absolute specifics of it, but as a company, we've been procuring property insurance since we began. It's a proper risk management tool. We have a very good relationship with insurance providers, with the insurance community, and we work very close with them every year. And so all I can tell you is we absolutely have the proper coverages with the proper providers and we'll be working with them as we assess what happens. And it's too early to speculate on that. So I feel very, very comfortable and pleased. Insurance is a funny thing. You hate paying for it when you don't need it and you hate the fact that you need it, but you're happy that's there in a time like this. So in regards to RD, nothing is static, obviously. I think the developments over 25 are getting incredibly interesting to watch. The biodiesel guys have a lot of headwinds. You got less imports into the country. The 45Z is going to be below by all indications, although that was the previous administration's guidance. So there's no guarantees. But I would think the 45z economics from the 45z will probably be less than the lenders tax credit. And over time my guess is the RIN will sort of set the market for how much RD needs to be manufactured. But I come back to, and you know, I can't bring up RD without bringing up our partner. We've been lockstep with them, similar outlook on the marketplace, similar commitment to our SBR venture. So we're very pleased with the partnership we have. I think as we look at the marketplace, our ability to pretreat feeds our location in the Gulf Coast, I think we're well positioned to be a top quartile performer in the marketplace as it evolves. In regards to accounting for unclear 45Z or producer tax credit language, we're going to use the language that we have at the time that, that we create, we publish our books and records. Karen, I don't know if you have…
Karen Davis: No, that's right. Similar to what some of our peers have announced, we will, we do expect to accrue the credit based on the guidelines that are available right now.
Ryan Todd: Great, thank you. Thank you.
Operator: Thank you. We'll take our next question from Manav Gupta with UBS. Your line is open.
Manav Gupta: Good morning. More of a theoretical question, but let's say we do go down the line of peace between Ukraine and Russia, it will have multiple impacts for refiners. Obviously more product can come in, but what can also happen is more heavier crudes come to the market, BGO [ph] comes to the market. Do you think in that scenario, if we do have a complete peace between Ukraine and Russia, you could see a wider quality discounts, heavy, light widening, which could help PBF out?
Matthew Lucey: I do, -- Thomas.
Thomas O’Connor: Yes, thanks, Manav. In regards to the question, I mean, I think it's probably really what are the terms of the piece? But broadly speaking, in the way that you presented it, in terms of peace at that point, certainly should be a catalyst for a wider, light heavy differential. I think particularly also in the Atlantic Basin, just because the Pacific Basin has been the primary beneficiary of Russian crude over the last several years. But I think we really need to watch that as that plays out. I mean, clearly there's, there's a lot of factors in the market today. I think in terms of some aspects, the things that we see, that for every policy action there's a countermeasure or another reaction and some other things as we've gone through the sequencing, but in a vacuum, that coming to some resolution certainly would be a positive catalyst for [Indiscernible].
Manav Gupta: Perfect. My quick follow up, which I wanted to ask you was when you did buy Martinez, one of the thought processes was if one of the assets on the west coast does go down, you want it couple of assets there to benefit from it. In this scenario, when Martinez is down, can you Torrance hard at nameplate capacity or maybe even over to actually benefit from a spike in the west coast margins?
Matthew Lucey: Torrance refinery is running and we'll maximize as we do at all of our facilities to the market that exists. So, as I said, Torrance is there and is producing products which are desperately needed in California.
Manav Gupta: Thank you.
Operator: Thank you. We'll take our next question from Neil Mehta with Goldman Sachs. Your line is open.
Neil Mehta: Yes. Staying on the macro, obviously very dynamic environment around tariffs and you guys do import some barrels, including some crude from Canada, but also some waterborne barrels. So just your perspective of how this potentially could ripple through the system and any frameworks that you're using to evaluate a very dynamic situation.
Matthew Lucey: Dynamic it is. I'll ask Tom to comment as well. Look, the Canadian Mexican tariffs seem to be different than some of the other tariffs that are being imposed in that it does seem to be a cudgel to broader geopolitical issues whether it's immigration or fentanyl or other things. And so the duration of those tariffs may be different. It does seem to be sort of isolated into a person of one of, how these decisions are being made. But, but he's clearly getting advice because even when the tariffs were threatened before there was a recognition obviously that oil was getting a different mark than the rest of the imports from Canada. Canada and Mexico are a bit different. I sort of chuckled to myself. Canada is more of a Mexican standoff because their alternatives are much less in terms of if they don't sell it to the U.S. it's going to stay in the ground. Mexico obviously has more flexibility with having access to water. That being said, the Mid-Con needs Canadian refineries, Canadian oil to maintain throughput. And so anytime that there's going to be disruption of that size, if it happens, it will have some impact on throughput, I'm sure. I do think it's important to note certainly on the Canadian side the movement, the respective dollars. So if you're a Canadian producer, what is the net difference? If you're looking at it sort of on a post currency trade. But it will be interesting. Dynamic tariffs are being threatened and initiated on a daily basis. On that Monday when the Canadian and Mexican tariffs were supposed to be implemented and then postponed, we went in a six hour period where obviously there was going to be a bullish TI event by imposing tariffs on Canada and Mexico and six hours later that was off the table. But the Chinese were tariffs putting tariffs on U.S. crude which was bearish. So there's nothing, nothing stag for even a moment. But we've got a perfect team. I'll hand it over to Tom sort of on every aspect of this.
Thomas O’Connor: Yes. In terms of, I mean Matt gave a very wholesome response there. I mean, I think in terms of, I think that market reaction which we saw on that Monday I think is very -- a key indicator as to how the market would respond. In terms of, TI was, outperforming, the waterborne crudes, certainly had a strong crack response. In terms of products on the -- particularly in the observable markets are just staring at screens. Right. You had outperformance in NYMEX, the cash markets in certain areas didn't have time to sort of respond as people were sort of just waiting in terms of figuring out from a little bit more certainty. But I think it does get to the point where when you look at the market today, I do think that the likelihood of tariffs, the market is saying, they're, they're not there. I mean you have TI spreads are basically on six month lows and that is a reflection of the fundamentals and the seasonal reality of the marketplace that we are in today. Right. I mean you're in the maintenance period, you got low runs and you're sitting in a situation where crude is building, coming off of basically the low of the five year and is now moving closer towards the five year but still has some work to do and products have been drawn. I mean, so I mean if we get back specifically to the effects of the tariffs, I think in terms of. I don't really have anything else to add in terms of -- Matt's response was.
Matthew Lucey: The only thing else I would add is as I look at it, I don't see PBF being disadvantaged relative to the rest of industry in the U.S. in any way, shape or form.
Neil Mehta: That's great. And the follow up is maybe this for you, Matt, maybe for Karen. But you pointed to, net debt to cap, kind of that 16% range. And therefore the priority, even though that's pretty good balance sheet, is to get, just to delever a bit before you return capital to shareholders in the form of buybacks. What's the framework? Is that decision point of a certain leverage level either on that metric or net debt-to-EBITDA that we should be looking for? For when you say you want to flip from deleveraging back to buybacks.
Matthew Lucey: I think it'd be impossible for us to give you one metric. I think it's a combination of the current market we're in, the outlook going forward in the short term to medium term, what how our assets are running. You have a lot of sort of different equations in the bowl of soup. But what we intend to do is set up our company as best we can for our investors. That includes a really, really strong balance sheet and it also includes returning cash to shareholders and we'll balance that to the best of our ability.
Neil Mehta: Is there a target through the cycle? Net debt number maybe is a better way of asking it.
Karen Davis: I would say maybe I'll answer the question with what we could see as the maximum and that would be our goal has always been to maintain investment grade level credit metrics, which we think could be as high as less than 35%. Currently we're at 16%. It's our goal to be very conservative.
Neil Mehta: Thanks, Karen. Thanks, Matt.
Matthew Lucey: Thank you.
Operator: Thank you. Our next question will come from John Royall with JPMorgan. Your line is open.
John Royall: Hi, good morning. Thanks for taking my question. So my first question's on 4Q cash flows. We noticed cash from Ops, even ex-working capital came in a little late relative to earnings. It looks like there's 100 million plus of deferred tax headwinds as one of the drivers. I was just hoping for some color on the deferred taxes and any other major items to call out before [Indiscernible].
Karen Davis: Yes, I think you hit on one of the drivers. The other one was just an overall and this was the main one is an overall decline in our net payables related to inventory. Looking forward into Q1 working capital is going to be driven primarily by hydrocarbon pricing. But I would also point out that we did make a TRA payment of $130 million in January which will provide a headwind.
John Royall: Great. Thank you Karen. And then my follow up is on the business improvement plan. You gave a little bit of color in the opener and mentioned the key piece being around energy usage and turnaround and I think next quarter maybe some more detail. But how do you expect the 200 million to phase in this year? How should we think about first half versus second half and does the outage of Martinez impact the plan in any way?
Matthew Lucey: I'll make a couple comments then turn over to Mike. In regards to the 200 million, what we said last quarter and what the 200 million is pointing to, it's run rate savings as of January 1, 2026. So we're going through each of our refineries, each of our processes that support our refineries and coming up with cost saving initiatives plans and beginning to execute those savings. What we the pledge that we made was as of the beginning of next year will be fully implemented. So over the course of 2025 there will be some savings but the savings will not be fully achieved in 2025. And no, I don't believe the events at Martinez will impact this initiative at all.
Michael Bukowski: Yes, well said Matt. I think as we develop the detailed implementation plans prior to the end of the first quarter we'll have a really good line of straight to how much exactly going to hit in 2025 but we will be adjusting every time we do an initiative and we account for the run rate savings, we will be adjusting our budget targets for 2026 so that those savings remain sustainable. We'll be putting in operating KPIs as well as the financial KPIs, but operating KPIs associated with all those cost savings initiatives so that we keep our eye on the ball and that those savings will be continued to be realized throughout 2026 and beyond.
John Royall: Very clear. Thank you.
Operator: Thank you. We'll take our next question from Jason Gabelman with TD Cowen. Your line is open.
Jason Gabelman: Yes, hey. Morning. Thanks for taking my questions. I wanted to go back to the Martinez incident if I could, and it's not completely clear. Is the entire facility shut down right now or is it just a unit that shut down? Can you give us any more color as to what unit was impacted? And as you think about your contractual obligations, do you need to source product from third parties in order to meet those while the -- while the asset's down? Thanks.
Matthew Lucey: All right, so specifically in regards to the units, we were in the midst of commencing what I refer to as essentially a 60-day cat turnaround. The cat feed hydrotreater was shut down in front of that and pipe work was being done. So it's in the vicinity of the cat seed hydrotreater. As a result of the fire, we did take down the entire refinery. So the refinery is down completely now. And so you have multiple work streams. You have the turnaround work and then assessing the fire and then what it will take to get other units back on stream. All three on their own schedule.
Jason Gabelman: Got it. And in terms of commitments with customers and needing to source product from...
Matthew Lucey: Oh, yes, I'm sorry. Yes. From a commercial standpoint, we don't have anything to report. We will be able to manage through all the commercial necessities, with our team, and there's nothing to highlight at this point.
Jason Gabelman: Okay, got it. And then just a quick accounting one. I noticed in your full year 2025 guidance that January 1st share count was actually up versus 4Q. I think it was guided to 121 million versus 115 and 4Q. Was that just related to incentive comp or was there something else that drove that? Thanks.
Karen Davis: I think that's going to be related to dilution. Potential dilution from incentive comp.
Jason Gabelman: Okay, great. Thanks for the answers.
Matthew Lucey: Thanks.
Operator: Your next question comes from Matthew Blair with TPH. Your line is now open.
Matthew Blair: Great. Thank you. I wanted to circle back to the RBI program so the 200 million of run rate cost savings, I think that comes out to about $0.60 a barrel. Could you talk about how we can measure that? Does that all come through refining OpEx or would it also come through corporate G&A? And then, just looking at your published OpEx in 2024 versus like 2018, 2019 levels, it's about $2 a barrel higher. So is this $0.60? Should this be thought of as a pretty conservative figure and there might be more wood to chop after that? Thanks.
Matthew Lucey: So, first of all, in terms of the accounting, most of it it's going to come through refining OpEx, but the capital projects and the turnarounds will come through our capital program. I would think about it that way. On the $0.60 per barrel versus previous years, I would consider this a start. We think that there's more opportunity beyond 2025. This is a program which is not going to end. This is going to be a new way of life for us in terms of driving continuous improvement, not only in how we manage cost, but how we innovate to, to drive efficiency. And we will let that spill over to all the things that we do in terms of managing our business, including how we manage our reliability and how we manage our health and safety as well. So I would look at the $0.60 per barrel as the first step of a long journey.
Thomas O’Connor: What Mike just said is my expectation. Our internal expectations are higher than what we promised the street, but as a management team, we certainly are focused on meaning what we say and say what we mean in regards to we're going to not over promise and deliver results as we communicate them. So the other thing I would say that this program is very, very focused on. If you go back to the depths of COVID at that time we announced cost savings to the tune and we achieved cost savings to the tune of about $140 million. Much of that eventually came back through the different cycles that we existed in. We're very, very focused on the sustainability of these cost savings on a go-forward basis. So not that it's cut once, but it's cut once and it's, it doesn't return.
Matthew Blair: Sounds good. And then you also mentioned that refining capacity additions should match up pretty well with incremental demand growth this year. I think there's also a comment that the forward cracks look constructive. Do you think at the strip that PBF would be free cash flow positive this year?
Matthew Lucey: Yes.
Matthew Blair: Great. I'll leave it there. Thanks.
Operator: Thank you. Your final question will come from Paul Cheng with Scotiabank. Your line is open.
Paul Cheng: Hey guys. Good morning.
Matthew Lucey: Good morning.
Paul Cheng: Matt, when I'm looking at your first quarter throughput guidance, East Coast seems like is low given that you only have the hydrocracker turnaround there, which is pretty small unit. Is there anything we should be aware why that the guidance is relatively low and how that impact on your full year expectation for that region? That's the first question. Second question that somewhat related to tariff, but I'm not going to ask that what you think about the tariff, but instead for Toledo you run a lot of the Syncrude. If you replace Syncrude with domestic light oil, how that impact your refinery yield throughput and OpEx? Just trying to get some better understanding on that. Thank you.
Matthew Lucey: Yes. Okay, so your first question was in regard to East Coast throughput. I think the throughput that is down is a bit on the back of the market that has existed. And so, obviously we throttle throughput based on the market in which we're operating and when it's a weaker market, throughput can come down. So there's certainly nothing structural or nothing from a work standpoint that's precluding us. And if the market's there, we'll certainly capture as much of it as we possibly can. In regards to Toledo, there is some element, I referred to it as a Mexican standoff before in terms of our -- we do not have the ability, nor does anyone, anyone in the region have the ability to simply replace all Canadian barrels by domestic supplies. The pipelines fast season there pipelines have been reversed. And so there is some element of tariffs could push down throughputs or ultimately the producer's going to pay or the end consumer's going to pay. But to the degree there's not a market for the refiner to run, we're not in the business of manufacturing fuel that is uneconomic to run. So like I said, it's an incredibly dynamic situation. And if there is tariffs put in the market will balance itself to produce the products that are needed in all the regions.
Paul Cheng: Matt, if the domestic light oil is available for Toledo and indeed that you're going to repay Syncrude in one year, how that impact your product yield and throughput if you if that is available and you make that decision. So I'm trying to understand what technically is available is the capability that you can do in that particular case. And also that on my first question on the East Coast, if the first quarter end up that will be the runway. So we assume full year your runway will be lower than the previous full year guidance. Thank you.
Matthew Lucey: No, as I said, you have to make a market assumption to drive what you think throughputs are. But we're not limited by any stretch on the East Coast. In regards to the -- I think your question is theoretical. If you were able to deliver all U.S. domestic light sweet crude, what would be the yield impact to Toledo? Toledo, not unlike any other refinery, would have a yield impact. We run a significant slate of synthetic crude out of Canada which has specifications and qualities that Toledo is optimized around. To the extent you change that crude site for Toledo or for any other refinery in Chicago or throughout the pad, there will be yield impacts and it's too difficult to get into the specifics exactly what happens. But throughput will be down, there's no question. By the way, that's not limited to PADD 2. I mean that's true in PADD 5 or any other PADD. To the degree you're not running your optimized crude. It's the optimized crude for a reason. There will be throughput, yield is taxed.
Paul Cheng: Thank you, Matt, since I'm the last caller here, can I sneak in a third question?
Matthew Lucey: All just for you.
Paul Cheng: Thank you, really appreciate it. On insurance, I assume that you have the business interruption insurance also in here and can you tell us that, what's the deductible?
Matthew Lucey: Look, I don't want to get into specifics. On insurance we have a manageable deductible and as I said before, we have all the proper insurance in place.
Paul Cheng: Okay, we do. Thank you.
Operator: Thank you. We have reached the end of our question-and-answer session and we'll turn the call over to Matt Lucey for closing remarks.
Matthew Lucey: We greatly appreciate your participation today and look forward to communicating with each of you in the future. Thank you very much.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.